Operator: Good day, ladies and gentlemen and welcome to the NMI Holdings Second Quarter 2015 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to John Swenson of NMI Holdings. Sir, you may begin.
John Swenson: Thank you. Good afternoon and welcome to the 2015 second quarter conference call for National MI. I’m John Swenson, Vice President of Investor Relations and Treasury. Joining me on the call today are Brad Shuster, Chairman and CEO, Jay Sherwood, our President; and Glenn Farrell, our Chief Financial Officer. Financial results for the second quarter were released after the close of market today. The release may be accessed on our website located at www.nationalmi.com under the Investors tab. During the course of this call, we may make comments about our expectations for the future. Actual results could differ materially from those contained in these forward-looking statements. Additional information about the factors that could cause actual results or trends to differ materially from those discussed on the call can be found on our website again www.nationalmi.com under the Investors tab or through our regulatory filings with the SEC. If and to the extent the company makes forward-looking statements, we do not undertake any obligation to update those statements in the future in light of subsequent developments. Further, no interested party should rely on the fact that the guidance of forward-looking statements is current at any time other than the time of this call. Now to our conference call. Brad will open with an update on the state of the business. Jay will provide comments on our progress with new and existing customers and then Glenn will discuss the financial results, then we’ll take your questions. One final note, Jay Sherwood is conducting this call for a remote location, so please bear with us if there are any connection problems on his line.. With that, let me turn it over to Bradley Shuster. Jay?
Bradley Shuster: Thank you John, and thank you to all for joining us on the call today. In the second quarter we generated $2.5 billion of total NIW up 50% from the first quarter. Most of this growth came in our flow business which was up 69% quarter-over-quarter Although NIW numbers for the industry have not yet been released, we believe our growth in the quarter was driven by the three factors, share gains with existing customers, who are were generating NIW as of the end of 2014. Contributions from new customers added this year and a better than expected origination market. We believe our strong results reflect customer increasing appreciation of our differentiated value proposition as well as solid execution by our team. The market growth, we are seeing so far in 2015 is partially attributable to refinancing activity which was robust in the first quarter but begin to evade in the second quarter as mortgage rates bottomed. That said, we believe the purchase market in the second quarter will also show solid year-over-year growth following a 11% increase reported by Fannie Mae for the first quarter of 2015. We are excited about growth in the purchase market, because when compared to refinancing the purchase market has roughly four times the penetration rates for mortgage insurance. As a result, we could see some slow down of refinance activity yet still have year-over-year growth in the private MI market. This year, we expect the private MI market will be roughly $200 billion which is approximately 10% higher than our original expectation and roughly 20% higher than last year. In the last few months, we have seen a release to the final PMIERs as well as the updated capital requirements for Lender Paid Mortgage Insurance or LPMI. The new LPMI rules impose additional asset charges based on the non-cancellable nature of LPMI which increases the duration of the exposure relative to cancellable monthly policies. We believe these new capital rules should motivate market participants to evaluate expected returns and determine the appropriate level of LPMI in their portfolios. Looking at our business in the context of all the PMIERs changes, we continue to target overall returns in the mid teens. This expectation is based on full deployment of our capital, full – leveraging our expenses and material loss ratio. In terms of PMIERs complaint, we continue to have significant capital surplus relative to the risk to available assets framework of the PMIERs. The PMIERs allow up to two years to comply with its financial requirement including the minimum available assets threshold of $400 million. We expect to need additional capital to support our rapid growth well in advance of that timeframe. And as a result, we continue to expect that we will address the minimum available asset requirement concurrent with a razor for growth capital which could take the form of debt, equity or some combination. We were very pleased last month to receive an investment grade financial strength rating from Standard & Poor’s for our primary insurance company. The rating of BBB minus included a stable outlook. We are one of only four private mortgage insurers to receive an investment grade rating from S&P and we believe it is a great reflection of our credibility as a counter party in our strong capital position. Finally, we achieved an important milestone in the second quarter generating positive cash flow from operations for the first time in our history. We previously guided that we were reached this objective in the second half of this year, but we are achieving it earlier than expected primarily as a result of stronger growth in premiums written in 2015. In summary, we are very excited about the growth we are achieving in NIW and what this means in terms of our path to profitability. Customers are responding through our differentiated value proposition and we believe there is more growth ahead of us as we continue to gain traction in the marketplace. With that, let me turn the call over to Jay Sherwood. Jay?
Jay Sherwood: Thanks, Brad. I’ll provide additional detail on customer developments and NIW results for the second quarter and year-to-date and then turn it over to Glenn for more on our financial results and outlook. As of the end of the second quarter, we had approved master policies in place with 842 customers up from 777 as of the end of the prior quarter and up from 570 as of the end of the second quarter of 2014. Customers delivering NIW in the quarter grew to 340, which compares with 291 in the prior quarter and 94 in the same quarter a year ago. 40% of master policy holders generated NIW in the second quarter up from 37% in the prior quarter. Our flow NIW is growing among our diversified customer base with roughly half coming from our top 20 largest customers and the remainder coming from more 300 smaller lenders. As Brad mentioned, primary NIW in the quarter was $2.5 billion up 50% from the first quarter NIW of $1.7 billion. We estimate that the private MI market grew approximately 25% sequentially in the second quarter with the remainder of our growth coming from market share gains. There are two drivers to the market share gains, the first and most impactful is increasing volume with existing customers who are generating NIW for us as of the end of 2014. The second is contributions from new customers we’ve activated in 2015, existing customers accounted for 89% of flow NIW in the second quarter and 91% of flow NIW for the year-to-date. In the second quarter, we increased volume with these existing customers by 55% which is roughly twice the market growth for the period. We believe this is a great demonstration of our ability to increase volume with existing customers once we have them generating NIW. Now to new customers, again defined as customers who generated their first NIW with us in 2015. For the first half of 2015 we activated a 132 new customers who contributed 9% of NIW production in the first quarter of the year, this is up from 5% in the first quarter. We expect to see the number of new customers in the NIW associated with those customers to continue to growth as we progress through the year. Now turning to growth by product. We saw the highest increase in our monthly BPMI which was up 59% over the prior quarter. Single premium product which includes flow and aggregated single is up 40% quarter-on-quarter. Looking at product mix monthly BPMI represented 57% of Q2 production up from 54% in the first quarter. Aggregated single represented 24% of total NIW in the quarter, down from 32% in the prior quarter while flow singles comprised 19% of total NIW in the second quarter, up from 14% in Q1. Overtime we expect our mix of monthly versus single to roughly align with the industry averages. In summary, we are pleased with the growth we are achieving from new and existing customers. We expect to continue to grow master policies and customers generating NIW while at the same time increasing volume with our existing customers. Now I will turn it over to Glenn Farreel for more detail on the financial results. Glenn?
Glenn Michael Farrell: Thank you, Jay, and good afternoon, everyone. I’m pleased to give you a review of the second quarter results. First total policies in force as of the end of the quarter were approximately 32,000, up 49% from 21,000 in the prior quarter. Primary insurance and force at quarter end was $7.2 billion which compares with $4.8 billion at the end of the first quarter. Pool insurance in-force as of the end of the second quarter was $4.5 billion, which compares with $4.6 billion as of the end of the first quarter. Looking at the mix of insurance in-force by product we ended the second quarter with monthly BPMI representing 50% of primary insurance in-force, up from 47% in the first quarter. Aggregated single was 34% of insurance of course in the second quarter, down from 39% in the Q1. And flow singles were 16% of insurance in-force in Q2 up from 14% in Q1. As Jay mentioned, we expect our product mix to over time to roughly aligned with industry averages. Overall, Persistency as of the second quarter was 72%, up from 66% from for Q1.Excluding aggregated singles, persistency was 89%, flat with the prior quarter and persistency in the aggregated single book was 58%. Premiums written for the second quarter were $20.3 million, up significantly from $12.9 million in the prior quarter. Premiums earned for the quarter were $8.9 million, up from $6.9 million in the prior quarter. Annualized premium yield for the quarter was 51 basis points, down slightly from 55 basis points in the first quarter. But, excluding the impact of cancellations of single-premium policies, premium yield improved by four basis points quarter-on-quarter. Given our rapid rise – rapid pace of growth and what is still a relatively immature book, we expect to see continued volatility in this premium yield measure. However as our book grows, we do expect our premium yield converge around the industry average. Investment income in the second quarter was $1.7 million up from $1.6 million in the prior quarter. And total revenues in Q2 were $10.9 million up from $9.1 million in the prior quarter. Underwriting and operating expenses in the second quarter were $20.9 million, including share- based compensation expense of $2.1 million. These compares with underwriting and operating expenses of $18.4 million, including $2 million of share-based compensation in the prior quarter. The expenses in the second quarter and year-to-date are consistent with our spending plans for the year. Operating loss before share-based compensation expense was $8 million which compares with $6.1 million in the first quarter. The second quarter loss was higher primarily due to the Q1 benefit from change in the fair value of our warrant liability and higher expenses in the second quarter. As our insurance-in-force continues to grow, we expect to see declining losses each quarter going forward until we reach profitability. At quarter end, cash and investments were $434 million flat with the prior quarter and including a $163 million in the holding company. As Brad mentioned, we generated positive cash flow from operations in the quarter, a milestone that we expect to maintain for the remainder of the year. Book equity as of the end of the second quarter was $412 million equal to $7.1 per share. This book value excludes any benefit attributable to our deferred tax asset of approximately $54 million as of December 31, 2014. As of quarter end, our risk to available assets ratio under primary insurance company was approximately 8:1 which compares with the maximum risk to available assets ratio under the final PMIERs of 18:1. In summary, we are pleased with our solid growth in the second quarter. Now let me provide our updated outlook for 2015. We currently expect to write approximately $10 billion to $11 billion of NIW in 2015 up from our original guidance in February of $6 billion to $7 billion. The vast majority of this increase is coming from strength in our flow business. Based on this guidance, we would expect to end 2015 with approximately $12 billion to $13 billion of insurance in, primary insurance in force. As we have said previously, we expect to achieve breakeven before share-based compensation expense when we reach approximately $15 billion to $17 billion of primary insurance in force with GAAP breakeven occurring one quarter later. We’re not changing our guidance, we’re underwriting operating expenses for the year which again is $75 million before the $8 million of share-based compensation expense were $83 million in total including the share based compensation expense. Now I’ll turn it back to the operator, so we can take your questions.
Operator: Thank you. [Operator Instructions] And the first question is from Bose George of KBW. Your line is open.
Bose George: Hey, guys. Good afternoon. The 842 customers that you guys have, do you have a history for what percentage of the market that represents?
Jay Sherwood: So this is Jay calling in and it’s fair to answer any question. It’s purely an estimate, but I would say it’s on the order of 75% of the market.
Bose George: Okay, great. Thanks. And then if you just be what was the dollar amount for the accelerated premiums during the quarter?
Glenn Farrell: Bose. This is Glenn. The cancellations or the prepayments was approximately $700,000 in the second quarter.
Bose George: Okay, great. And then just one on the LPMI on the new capital – new capital requirements. How do you see that playing out. Is it do you I guess premiums presumably will have to come up with that most likely scenarios?
Bradley Shuster: Yeah, Bose. This is Brad. We think the written effect clearly suggests that premium should rise as you need the whole more capital against that risk but we haven’t yet seen that occurring in the marketplace, but we’re keeping our ear to the ground and going to see what happens.
Bose George: Okay, great. Thanks and nice quarter.
Bradley Shuster: Thank you very much.
Operator: Thank you. The next question is from Mackenzie Kelley of Zelman & Associates. Your line is open.
Mackenzie Kelley: Thanks and congratulations on a solid quarter.
Jay Sherwood: Thank you.
Q - Mackenzie Kelley:
Jay Sherwood: Mackenzie, this is Jay Sherwood. So, I would say there are still opportunity there. As you said we don’t disclose the number specifically, but there is still plenty of opportunity not only with new customers on the national accounts side, and also increasing our penetration within those customers that we have.
Mackenzie Kelley: Okay. And how often would you say that you’re unable to move forward with the smaller whether it be corresponding [indiscernible] lender, because you don’t already have all the national accounts. Is that a common impediment or not so much?
Jay Sherwood: No that’s a very rare occurring so, I mean, we have the majority of the correspondent channel improved and so that’s a very rare occurrence, where we find a medium to small lender they can’t do business with us, because they don’t have an outlet for the loan.
Mackenzie Kelley: Okay. Great. And then could you just give us an update on what was going on in the lender pay channel this quarter whether there was any change in the pricing competition or demand from some of the lenders that participate there?
Jay Sherwood: We haven’t seen any material changes since the beginning of the year there Mackenzie, I mean it still continues to be a very competitive market on the LPMI side. We’ll have to see what happens with the new capital requirements as Brad mentioned earlier. Our logical extension is that prices increase there, but we’ll have to see how the competition reacts.
Mackenzie Kelley: Okay. Great thanks.
Operator: Thank you. And the next question is from Patrick Kealey of FBR. Your line is open.
Patrick Kealey: Good afternoon guys. Thanks for having me on. [indiscernible] The first question just on your updated guidance here. You gave us kind of your thoughts on market strength for 2015. So I know in the past you guys have not baked in much if any new account growth contributing NIW. How much of that is baked into that new $10 million to $11 million number?
Jay Sherwood: So Pat, this is Jay. So, we’re really just looking at the customers that we have as of June 30, all right. So we will continue to add new customers as we mentioned in the prepared remarks. But the majority of the NIW referenced in that $10 million to $11 million is from visibility that we have with existing customers.
Patrick Kealey: Okay. Great. And then also sticking with that, if you have that agreed if not just kind of thinking about going forward into July. Have you guys continued to see momentum on kind of the master policy integration and NIW contributing account growth?
Jay Sherwood: So Pat, we’ve mentioned previously that we and you can do the math yourself based on what we disclosed. We generally add about 20 new customers a month, not all customers are created equal they’re varying size but that pace has continued.
Patrick Kealey: Very helpful. Thanks guys.
Jay Sherwood: Thanks, Pat.
Operator: Thank you. The next question is from Geoffrey Dunn of Dowling & Partners. Your line is open.
Geoffrey Murray Dunn: Thanks. Good afternoon. Jay, could you maybe give us some color on how a relationship with the top 25 lender develops. I guess when you get admitted to actuals into their flow rotation. Is it something or it’s like a month trial period of ex-percent and then you get bumped up to another one. Is there a typical progression among a big lender that gives you a good insight into the pipeline not just for next six months, but next 18 months, or is there not any general rule of thumb of how that might develop?
Jay Sherwood: So Geoff, I would say generally speaking for larger lenders you do start out at the smaller end of the shares spectrum and it takes time to increase the share of these larger lenders. That becomes quite a bit more variable when you get down to the small and medium size lender where your initial share can vary from something small down as low as 5% to something much greater than that, but I would say you’re right, generally speaking with the larger lenders you tend to start out at a small share allocation and increase that over time.
Geoffrey Murray Dunn: Is there any kind of general rule of thumb of how long you’re in that kind of trial initial period versus moving up into the tiers?
Jay Sherwood: No. unfortunately not Geoff, it varies by the number of lenders out there.
Geoffrey Murray Dunn: Okay. And of the top 10 lenders in the country right now, how much are actually delivering business to you on a flow basis?
Jay Sherwood: Yeah. So Geoff we have – we sort of stop disclosing that maybe a year ago and it’s just because we become more mature, we have over 300 nearly, 400 customers generating NIW at this point and it became a less meaningful statistic. Also you have to remember when you get down around the tenth largest lender in the country, the amount of MI they produced actually isn’t that great, it becomes a very fragmented market pass the top sort of four or five.
Geoffrey Murray Dunn: Okay. All right. And then just last detail question. And I’m sorry if I miss this, I have been on and off, but can you update your expense guidance for the year?
Glenn Farrell: Geoff, this is Glenn. We did not updated, we kept it constant at what we guided to in February at a total of $83 million which includes the $8 million of share based compensation.
Geoffrey Murray Dunn: All right. Great. Thank you.
Operator: Thank you. [Operator Instructions] The next question is from Christine Worley of JMP Securities. Your line is open.
Christine Worley: Hi. On the updated guidance that you gave of $10 billion to $11 billion of NIW, do you also have an update for how we should think about the split between flow and aggregated single. I know you had previously said you expected $1 billion to $2 billion of aggregated single in the year and I just – I didn’t know if that was a number that we should hold a little bit more constant or that there is probably upside to that.
Bradley Shuster: Christine, this is Brad. So you’ve seen the updated guidance we have given $10 billion to $11 billion and we’ve decided not to break that up this time, but as Glenn said earlier, the vast majority of that increase is coming from the flow business. So we’re – we’re still on the ballpark of what we were thinking about before for the aggregated single product.
Christine Worley: Okay. Great. Thank you.
Bradley Shuster: Thanks.
Operator: Thank you. There are no further questions in queue at this time. I’ll turn the call back over for closing remarks.
John Swenson: Operator, perhaps you could do one more around.
Operator: Yes. We do have a question. Yes, ladies and gentlemen [Operator Instructions] And the next question is from Mackenzie Kelley of Zelman & Associates. Your line is open.
Mackenzie Kelley: Thanks. Just two quick follow-up. 00:24:49 just want to know if you could provide us the split between the purchase and refi volume the flow business this quarter?
Jay Sherwood: This is John. It was – it was about 75-25 mix purchase versus refi..
Mackenzie Kelley: Okay. And then...
Jay Sherwood: I guess it is that number if you like?
Mackenzie Kelley: Okay. Great. Yeah, I’ll [indiscernible] the line. And then just trying to get some color around the losses you had the favorable developments this quarter. Just what drove that? And then how many loans, I know it’s really small still at this point, but how any loans were delinquent in the quarter?
Glenn Farrell: Mackenzie, this is Glenn, yeah it’s really small. We started out with some six NODs at the beginning of the quarter and we end up with nine. We actually had five new notices during the quarter and [ph] Q2, so we ended up with a net increase of three NODs.
Mackenzie Kelley: Great. Thanks.
Operator: Thank you. And the next question is from [indiscernible] of New River Investments. Your line is open.
Unidentified Analyst: Hi, guys. Good afternoon. One question regarding additional capital. It looks like you are going to make that capital $16 billion to $17 billion of insurance before [indiscernible].
Jay Sherwood: That’s correct.
Unidentified Analyst: And so at this run rate could we expect or maybe you have – we’re looking at that capital raise in between three and four quarters from now?
Jay Sherwood: You know we don’t comment on exactly when we’re going to raise capital. As we said in the remarks, we’re pleased to see the strong growth in NIW and deployment of our capital, great returns, and so we’re continually evaluating capital opportunities going forward, be it a debt equity or some combination, but no timing. We’re not putting any timing around that.
Unidentified Analyst: All right. And just one last thing. I guess right now due to the base effect, we can’t see any seasonals in the quarterly numbers yet. When do you guys think that we will be able to see that seasonal pattern kind of show up to the growth. Is that something you guys think maybe we’re a year away from or do you guys think that’s still probably pretty far out.
Jay Sherwood: You know we’re at – you’re right we’re at a stage in our development where it’s hard to see that. We do I mean, when we look at the numbers we still can see some impact from that, but it over shattered by the rapid growth we’re experiencing and it won’t be anything like this seasonality you observe in a more mature player in the marketplace for some time.
Unidentified Analyst: All right. That’s all. Thank you.
Operator: Thank you. There are no further questions in the queue at this time. I’ll turn back for closing remarks.
John Swenson: Thank you, operator. As a remainder we’ll be presenting next week at the Susquehanna Financial Conference and we look forward to talking with some of you there.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. You may now disconnect. Good day.